Operator: Good morning. My name is Marcela and I will be your conference operator today. At this time, I'd like to welcome everyone to the Silicon Labs' Third Quarter Fiscal 2017 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there’ll be a question-and-answer session. [Operator Instructions] Thank you. I will now turn the call over to Jalene Hoover, Director of Investor Relations and International Finance. Jolene, please go ahead.
Jalene Hoover: Thank you, Marcela, and good morning, everyone. Tyson Tuttle, Chief Executive Officer; and John Hollister, Chief Financial Officer, are on today's call. We will discuss our financial performance and review our business activities for the first quarter. After our prepared comments, we will take questions. Our earnings press release and the accompanying financial tables are available on the Investor Relations section of our website at www.silabs.com. This call is also being webcast and a replay will be available for four weeks. Our comments today will include forward-looking statements subject to risks and uncertainties. We base these forward-looking statements on information available to us as of the date of this conference call, and assume no obligation to update these statements in the future. We encourage you to review our SEC filings, which identify important factors that could cause actual results to differ materially from those contained in any forward-looking statements. Additionally, during our call today, we will make reference to certain non-GAAP financial information. A reconciliation of our GAAP to non-GAAP results is included in the company's earnings press release and also in the Investor Relations section of Silicon Lab’s website. I would now like to turn the call over to Silicon Labs' Chief Financial Officer, John Hollister.
John Hollister: Thanks, Jalene. We delivered strong financial performance in Q3, with revenue ending at the top end of our guidance range at $199 million. This represents robust total company revenue growth of 12% year on year, and our fifth consecutive quarter achieving target operating model product revenue growth. The IoT products category achieved a record $100 million in revenue in Q3, representing year on year growth of 23%. Within IoT, we continue to see very strong results from our wireless portfolio, primarily due to good performance by our mesh networking and proprietary products and applications for the connected home, security, smart metering and the broad industrial market. The infrastructure portfolio also achieved record revenue at $39 million, up 2% sequentially. Our isolation products achieved another record quarter in Q3, with traction in applications for battery management for electric vehicles, industrial automation, solar power and high efficiency power supplies. Revenue for our timing products was flat in the quarter and continues to be impacted by softness in the optical networking market. As expected, we saw seasonal strength in broadcast, with revenue ending at $43 million, up 17% sequentially and 6% year on year. Broadcast growth was across the board, with a record in automotive and increases in consumer audio and video. As we anticipated, access was down slightly in Q3, ending at $17 million. We saw revenue growth in all geographies, with sequential growth in APAC, the most significant, driven by third quarter growth in broadcast, IoT and isolation. By end market, strong performance in broadcast drove increases in consumer, followed by continued growth in the industrial end market propelled by IoT. Industrial now represents around 50% of our total revenue and that mix has more than doubled since 2013, underscoring the growing diversity of our customer base and the quality of the end markets we serve. Third quarter distribution revenue was 70.3% and our top 10 customers accounted for 21% of Q3 year to date revenue. Non-GAAP gross margin in Q3 ended slightly above guidance at 58.8% on product mix. Non-GAAP operating expenses were also favorable, ending at $73.5 million, which was down about $1 million sequentially. Non-GAAP R&D expenses were lower than we expected, at $41 million due to delays in tape-out spending. Non-GAAP SG&A expenses were also down slightly at $32 million, primarily on seasonal trends in payroll taxes and other employee benefits. Non-GAAP operating income ended strong at $43 million, with Non-GAAP operating margin at 21.8%, which is a multi-year high and well within our target operating range. Our non-GAAP effective tax rate was better than expected for the quarter at 9%, due to some favorable discrete items realized in the quarter. Non-GAAP earnings per share was also at a multi-year high, ending at $0.90 above the high end of our guidance range and representing 17% year on year growth. On a GAAP basis, third quarter gross margins were 58.7%. GAAP operating expenses were flat at $92 million, and we generated GAAP operating profit of $25 million or 13% of revenue. Stock compensation expense was $11 million for the quarter, and amortization of intangible assets was $7 million, both in line with expectations. GAAP diluted earnings ended the quarter at $0.46 per share, which was above the guidance range. Turning now to the balance sheet, we ended the quarter with $724 million in cash and investments, up $57 million sequentially. For the nine month year to date period, we generated outstanding operating cash flow of just over $140 million, which represents a year over year increase of 33%. Accounts receivable ended at $76 million or 35 days sales outstanding. Our inventory balance grew $5 million sequentially to $73 million, and represents inventory turns of 4.5 times, which is in line with our operating targets. I will now cover guidance for the fourth quarter. We expect revenue in the fourth quarter to be between $195 million and $201 million, with growth in IoT and infrastructure. We expect broadcast and access to decline. We expect our non-GAAP gross margin to be approximately 58.5%, and our Non-GAAP operating expenses to be around $73.5 million. We expect our Non-GAAP effective tax rate to be around 11% and Non-GAAP earnings per share to be in the range of $0.83 to $0.89. On a GAAP basis, we expect gross margin to be approximately 58.5%. We expect GAAP operating expenses to be approximately $91 million for the quarter, with stock compensation at $11 million and amortization of intangible assets at $7 million. We expect our GAAP effective tax rate to be 11% and GAAP EPS to be in the range of $0.40 to $0.46. Before I turn the call over to Tyson, I want to briefly comment on the upcoming change in revenue recognition due to the implementation of ASC 606. We have been working diligently on this change over the past year and we are well positioned to proceed with the implementation of this new standard, which will be effective in January of 2018. Based on the new guidance, we will change our revenue recognition criteria for sales into distribution customers, from sell through to a modified version of sell-in accounting. We will enact this change on a prospective basis, with a one-time adjustment to retained earnings effective in January. I will now turn the call over to Tyson.
Tyson Tuttle: Thank you, John. We’re very pleased with our third quarter results, achieving record revenue in IoT and infrastructure, and in total. We have delivered target operating model performance on product revenue growth, non-GAAP gross margin and non-GAAP operating margin for four of the past five quarters, with growth in our IoT products a key driver of these results. According to Gartner, by 2020, IoT technology will be in 95% of new electronic product designs. We're seeing tremendous demand for IoT products, which have grown to 50% of our total revenue. Silicon Lab’s biggest opportunity and challenge is to scale our IoT business. We design our solutions using a platform based strategy to drive portfolio efficiency and to provide a flexible, cost effective means to support end market needs. We also create solutions which are easy to use and support, to more efficiently scale in the sales channel and across the broad market, serving tens of thousands of customers and thousands of applications. We are pleased with our progress in these areas and we believe our approach will enable us to continue to meet or exceed our 20% growth target for our IoT products. In Q3, IoT delivered a seventh consecutive record revenue quarter, with revenue at $100 million and up 23% year on year. Growth in our wireless products continues to outpace the overall market. Our connectivity portfolio is gaining traction as we target low power wireless end nodes and offer a broad range of protocols and optimal combinations for key market segments, including home automation, security, metering, lighting and other industrial applications. Our ZigBee products continue to lead wireless revenue growth. We have established ourselves as the technology and market leader in mesh networking, shipping well over 100 million mesh enabled devices worldwide over the past 15 years. ZigBee’s scalable, self-configuring and self-healing mesh networking capabilities, are ideal for applications demanding robust performance. We see an increasing number of trends driving growing demand for technology supporting low power wireless in node device. First, government agencies are mandating utility companies to upgrade to advanced metering infrastructures as part of larger smart grid initiatives. The smart metering roll out in Great Britain is one of the most concentrated opportunities for our ZigBee and sub-gigahertz solutions. ZigBee and Thread mesh enabled Wi-Fi hubs, routers and gateways, are a recent trend driving broader adoption of low power mesh networks and the proliferation of IoT end nodes, where we have a significant share of the market. Additionally, voice control is becoming ubiquitous, driving end node deployment in smart home ecosystems, including Amazon Echo, Google Home, Nest and Samsung Smart Things Cloud. We are intercepting this trend with our broad wireless connectivity portfolio and strong positioning in IoT ecosystems. And finally, IHS predicts the market for smart lighting and connected lighting controls, will more than double from $6 billion in 2015 to more than $12 billion in 2020. Our IoT Products also contribute - our MCU products also contribute to IoT growth, led by our EFMA MCUs. Silicon Labs offers eight and 32 bit USB connectivity solutions, which have been shipping for more than a decade, enabling developers to add USB to embedded designs without the added cost and complexity of firmware development. In Q3, we also introduced a comprehensive reference design to simplify the development of rechargeable battery packs used to power portable devices through USB type C cables. As we look at our IoT portfolio, sensors are a key element of end node solutions in markets we address. During the quarter, we introduced a breakthrough hall-effect magnetic sensor, offering industry leading power efficiency programmability, best in class sensitivity and built in tamper detection. Our new sensors combined the low power consumption of read switches, with the reliability of hall-effect sensors to create an optimal solution for white goods, slow meters, motor controls, security and other applications. Our new portfolio allows developers to choose the right magnetic sensor for their application needs, enabling them to design, test and deploy a wide range of sophisticated position sensing products better, faster, cheaper and with longer battery life. Now I’ll move on to infrastructure, where we delivered record revenue in the third quarter, driven by our isolation products. Our isolation devices are among our fastest growing product lines, underscored by record Q3 design wins and achieving an eleventh consecutive record revenue quarter. Renewable energy and increasing government initiatives to encourage energy efficiency, are global trends driving broad based adoption of our isolation technology. Systems requiring high voltage protection include electric and hybrid electric vehicles, solar inverters, motor controls and power supplies. Superior performance and robustness have allowed our isolation products to gain share from traditional optocouplers and outgrow the digital isolation market. Also in infrastructure, our timing products continued to suffer from weakness in the long haul optical networking market. This has impacted timing revenue performance, which has fallen short of our expectations for the year. Despite this near term softness, we remain optimistic about our longer term outlook for timing, bolstered by a strong and growing opportunity pipeline and portfolio expansion into new markets. During the quarter, we introduced three new timing products, including high performance clocks for data center and wireless infrastructure applications, further expanding our SAM and revenue growth opportunities. As carriers lay the groundwork for 5G and transition to Ethernet based front haul networks to increase capacity, they are deploying equipment at the edge of the network where cost, power and size constraints present unique design challenges. To address this need, in Q3 we introduced a new wireless clock family, which is 55% lower power and 70% smaller than competing solutions. These products represent the first timing ICs to combine 4G LTE and Ethernet clocking in the same device, dramatically simplifying clock generation for heterogeneous networking equipment. To meet ramping demand for more bandwidth and faster data rates, Silicon Labs also introduced a new family of high performance clock generators, offering the industry's most integrated, lowest power timing solution for 10, 25 and 100 gig applications, using up to 60% less power than competing products. These new clocks provide unprecedented feature flexibility, as well as all essential timing capabilities in a single chip device, enabling developers to simplify their clock tree designs without compromising performance. Silicon Labs new clocks are ideal for demanding applications, including hyperscale data center switches, servers, storage, networking and small cells. And finally, we introduced the new PCI Express product family, enabling developers to maximize jitter margin and eliminate standalone clock buffers, reducing development risk and complexity for data center applications. Silicon Labs now serves the clocking needs of the entire universe of PCI-E applications, from servers and storage to industrial and consumer applications. Our broadcast products delivered strong performance in the third quarter, posting a 10 quarter high in consumer product revenue, and delivering record revenue in our automotive products. According to IHS, the global automotive market will reach 94 million cars in 2017, with infotainment systems ranging from entry level to high end. To address this market opportunity, in Q3 we introduced the industry's most scalable, flexible and cost effective car radio solutions. Silicon Labs global and Double Eagle AM FM receivers and tuners and Digital Falcon coprocessors, enable auto makers and OEMs to deliver radio designs ranging from low cost single tuner AM FM radios, to high performance systems with multiple tuners, digital radio reception and intended diversity. Looking across Silicon Labs’ 21 year history, we have established a strong track record of tackling difficult design challenges and disrupting markets, while leveraging our strength and integration to deliver breakthrough solutions. We've achieved market leadership by driving simplicity throughout our entire hardware and software portfolio, and delivering solutions to help our customers reduce cost, complexity, power and size in their end products. Our portfolio is well positioned in high quality growth markets, including IoT, infrastructure, green energy and data communications, where we generate more than 70% of our total revenue, offering a long runway for growth and share gains. We're on a mission to develop groundbreaking technologies and products that transform industries, grow businesses and improve lives. Our life’s work is to create the Silicon software and solutions that enable the connection of things, information, networks and people everywhere. The opportunities before us for growth are exciting and enormous, and we're up to the challenge. Thank you for your time and attention. Before we take the questions, I'd like to turn the call back to Jalene. Jalene?
Jalene Hoover: Thank you, Tyson. Before we open the call for our question-and-answer session, I would like to announce conferences that we will participate in during the fourth quarter, including the Credit Suisse 21st Annual Technology, Media and Telecom Conference in Scottsdale on November 29. And Barclays Global Technology, Media and Telecommunications Conference in San Francisco on December 7. We would now like to open the call up for your questions. To accommodate as many people as possible before the market opens, we ask that you please limit your questions to one with one follow up. Marcela?
Operator: [Operator instructions]. We’ll pause for just a moment to compile the Q&A roster. Your first question comes from the line of Tore Svanberg. Your line is open.
Jeremy Kwan: This is Jeremy Kwan calling for Tore. Congratulations on an excellent quarter. Tyson, I was wondering if you could give us a little bit more detail in terms of the wireless breakout. Last quarter you mentioned - gave additional color on mesh versus proprietary versus Bluetooth. Could you just give us update, any changes you expect in the near term and potentially, which of the three you might see having the largest revenue from a potential revenue standpoint.
Tyson Tuttle: Yes, Jeremy. This is Tyson. In terms of the wireless products, we're seeing growth across the board in proprietary and 15.4, the mesh networking and also in Bluetooth, as well as a lot of applications that combine multiple technologies into a single device, where we're running multiple protocols, for instance where you can pair up a device with Bluetooth on phone, get it connected to a network and then it switches over onto a mesh network for instance, or on to a proprietary network. And we're also working in areas where we can actually run those protocols at the same time, where you can access an end node device with your phone, as well as having it connected to a larger network. In terms of the market opportunity, we see tremendous traction with our mesh networking devices. You see the deployment of these in gateways and routers and into a number of ecosystems. And we're seeing strong lighting traction, metering, home automation, home security, industrial applications in that area. And I would say that in terms of our near term revenue potential, the mesh products are seeing very, very good traction, followed by the proprietary applications and then Bluetooth, both in standalone as well as in multi-protocol applications is also seeing strong growth. So it's kind of across the board.
Jeremy Kwan: Great. Thank you. And in terms of a follow up, is there - do you see any significant variation in terms of the gross margin profile between the three?
Tyson Tuttle: Overall, our gross margins in the wireless area have some mix. We saw a number of solutions in modules where we see an overall lower gross margin percentage content, although the gross margin dollars in general goes up when you move from an on board design and on to a module. But overall, so strong module sales would tend to pull it down slightly. And certainly in the mesh networking and in the proprietary areas, we enjoy strong margins. The Bluetooth area is a little bit more competitive on a standalone basis, but then when you combine those protocols in with the others, we are delivering a higher level of differentiation, and those generally go for a higher dollar amount as you include additional content.
Operator: Your next question comes from the line of Anil Doradla from William Blair. Your line is open.
Anil Doradla: Hey guys, congratulations from my end too for solid execution. So Tyson, clearly you're in a sweet spot, IoT and many other multiple factors, but when you say scaling is a challenge, you referred to the sales channel. Is it limited to that or are there some other challenges in terms of scaling? And can you build up a little bit more on that sales channel challenge?
Tyson Tuttle: Yes. So if you look at IoT, it's a very broad market. You selling into thousands of different applications and across tens of thousands of customers, and that really presents two challenges. First. In the R&D area, you have to be able to deliver a differentiated portfolio that responds to those needs across those different applications. So you need to have multiple products that have functionality that is both differentiated for each one of those applications, while at the same time cost effective. They may have different amounts of memory, different amounts of peripherals, sensor interfaces and such. And so we use a platform approach there to drive efficiency across that. And as we've gotten out our next generation devices, we continue to enhance our differentiation and we continue to build on the R&D side to achieve that scale, both on the hardware and on the software side. So essentially we can address that entire market opportunity with a common platform where we're not creating specialized solutions for each individual application, which would really be not scalable. So we're really trying to achieve scale on the R&D side. Specifically around sales, we see - again, reaching that tens of thousands of customers and being able to drive support, you have to make these solutions simple to use. You have to do a lot of training. You have to build the sales force. We have to have application engineers, and we try to make that again as scalable and self-serve as possible. We’re introducing a number of web technologies and community support, self-support so that customers can find the information that they need without us having to hold their hand. You can also look at modules as a way of simplifying the support of designs where you have to have antennas and RF design that can create a lot of support challenge. And especially in the broader market, having a module makes it much easier for customers to take those. They’re pre-certified and streamlines our support needs as well. So just in general, it’s both scaling on the R&D side, scaling on the SG&A side. We see a lot of customer demand and a lot - the biggest challenge for us is to prioritize within that demand, and also to be adding resources both within the channel, within our support infrastructure to be able to address that opportunity.
Anil Doradla: Great. And as a quick follow up, the optical softness, you talked about it coming back. Can you tell, when do you think it'll come back?
John Hollister: Yes, Anil. This is John. This year has been impacted by what we believe is a general global slowdown in the optical networking market. We think that's most pronounced in China. And given order lead times, which really have not changed, we do not have direct visibility into the recovery there. That said, we do see timing as a long term growth driver for the company. We’re introducing new products. We continue to invest in this area and continue to see a long term strategic growth target of 10% for the infrastructure product category, of which timing is a key part of that.
Anil Doradla: Great. Thanks and congrats again.
Operator: Your next question comes from the line of Matt Ramsay from Canaccord Genuity. Your line is open.
Matthew Ramsay: Thank you very much. Good morning. Tyson, this might be a bit specific, but in the IoT market I wonder if you might expand on some of the opportunities in the partners you have in the connected lighting space. It’s a market that my team has been doing a little bit of work on and I think a market that’s set for an uptick here, and just want to know how you're aligned in that market, what the product portfolio and ASPs margins, those types of things might look like and who the partners are that you're working with. If you're able to talk about that in detail, that'd be helpful. Thank you.
Tyson Tuttle: Thank you for the question, Matt. We do lighting. It’s one of the most exciting opportunities within IoT. There is a lot of benefits for connecting lighting up to applications into the cloud to deliver additional functionality and features and everything from security, to adjusting colors, to automating timing schedules, to saving energy. And we're starting to see a lot of development in this area. You also have a number of ecosystems such as the Amazon ecosystem with Echo and a number of - on the consumer side, you also see a lot of action on the industrial and commercial lighting side as well. This is an area that we've been taking seriously. I mean ZigBee as a part of the mesh networking is really be appropriate networking technology to use in light bulbs, and it's been - it’s had a presence there, but having these in a mesh network as opposed to a star network is - has a lot of advantages in terms of robustness and response time. And ZigBee is in particular well suited for that. So we've been optimizing our software, been optimizing our hardware for this market. It is a very high mark - high volume market and requires a more optimized solution so that you optimize the cost in order to hold the margins there where we - where they need to be. But we believe that we're well positioned with a number of the leading suppliers in the timing market. We haven't made specific announcements around the - a number of those opportunities. Sengled is one that we did a press release on recently, but there are multiple others that are adopting these technologies and deploying across the ecosystem.
Matthew Ramsay: No, thanks, Tyson for the comment there. John, as a follow up, on the operating expense levels, I think you guys had originally guided for 3% growth this year and it looks like you're going to be around 2.5% or so. And with the momentum in the topline of the business, the op margin starts to get into the low mid-20s here pretty quickly. Maybe you can talk about how you’re seeing expense growth. Too early to guide for next year, but just how you’re seeing that trending going forward here and how you think about modeling that. Thank you.
John Hollister: Yes. you bet, Matt. so if you kind of go back a few years, we undertook an investment cycle in the business in the kind of 2013 to 2015 timeframe and saw the op margins dip down a little bit. We’ve spent the last couple of years exercising high discipline on spending and hiring and with the goal of getting our margins back into our model range. We are achieving that goal today and looking forward as we kind of enter the next phase of growth and scaling in the business. We do see the need to pick up the investment level and anticipate increased hiring into Silicon Labs heading into next year. So we'll have more color to provide on the January call. But as we're looking at the annual operating plan cycle right now, we are looking at increasing the level of staffing to help us scale further. And so as you look at the operating margin results that we’re seeing, it would be more towards the lower end of this overall range and kind of holding where we are now and then letting the revenue growth govern how much resources we can add to the story. We have a lot of opportunity, as Tyson indicated and we want to be well positioned to continue to lead in the growth markets that we're participating in.
Matthew Ramsay: Thank you very much guys.
Operator: Your next question comes from the line of Blayne Curtis from Barclays. Your line is open.
Blayne Curtis: Hey guys. Thanks for taking my question. So I wanted to ask you about seasonality into March, broad based. You talked about your business 50% industrial, a lot of industrial businesses are up. Maybe things like home automation would be down. I think you’ve been up the last couple of years. I’m just kind of curious your thoughts as you look into March kind of what the normal seasonality would be for broad based.
Tyson Tuttle: So the main seasonality that we see going into Q1 is really the consumer products. So if you look at the broadcast home, we had a very strong quarter in Q3. That’s typically the seasonally highest quarter, although the seasonality is not as strong as it used to be. The television market for instance is not as seasonal as some of the other consumer markets. And then there is some consumer seasonality concentration within IoT, although that is a fairly small component of the business. The majority of that IoT revenue is in industrial where you have home automation. There is some Christmas cycle in there, but it is mostly industrial where we see really not as much seasonality in the IoT. And then you layer on top of that, the growth that we're seeing in the business. That business is growing 20% plus per year and our goal is to try to outgrow the seasonality within the IoT category.
John Hollister: And Blayne, this is John. I just want to quickly add, on the seasonal topic, remind everyone that there is a seasonal aspect to the OpEx as we reset the payroll taxes and other employee benefit related costs. So please anticipate an uptick in OpEx for first quarter.
Blayne Curtis: Got you. And then actually my second, just to follow up on that, John. You had mentioned that OpEx was lower, some missed tape outs, but then with the OpEx flat in December, did those come back in March as well?
John Hollister: That, the activity will be completed in Q4. So the flatness is more indicative of just the ongoing employee benefits and tax related roll off throughout the course of the year. But the first quarter effects would be more around hiring and increased seasonal payroll tax related costs.
Blayne Curtis: Thanks guys.
Operator: Your next question comes from the line of Cody Acree from Drexel Hamilton. Your line is open.
Cody Acree: Thanks guys for taking my question, and congrats on the continued progress. Can you just talk about the health, maybe Tyson, of what you're seeing in the inventory channels, just your order linearity through the quarter? There’s been a lot of investor concern about possibly seeing a bit of overheating in the distribution channel, just curious to see what you’re seeing.
John Hollister: Sure, Cody. This is John. Overall, we think the channel, both from a distribution perspective, as well as our overall inventory levels, are well positioned to continue to drive growth. We think the levels of inventory we have on hand and in distribution, are healthy and normal. You did see a little bit of uptick in third quarter in (Dusty), but that’s appropriate given the kind of growth that we foresee coming ahead. So we're pretty comfortable with that as it relates to Silicon Labs.
Cody Acree: And then a little longer term, with your midpoint guidance for the December quarter, it looks like if December works out, you're going to meet your double digit growth target for the full year. When you look for it at 2018, do you need optical to come back? Do you need to start to see some material improvements in that Chinese optical infrastructure market for you to get back into, or to maintain a double digit growth rate next year?
Tyson Tuttle: So if you look at the year that we've had here in 2017 with the softness in the optical market, if we had hit our targets for the year, we would have really - it really would have had a nice impact on the results that we've been able to report. That being said, the largest component of our revenue is now IoT and that now right at 50% and the fastest growing business that we have. And the stated confidence that we talked about in the script of having a 20% target on that over the mid, if not the long term, that really, if we can execute on that and continue to execute within the infrastructure category, both in timing but even in the absence of timing with all of the isolation products. And then really the other factor there is being able to hold onto our business within broadcast. We had a very strong year in broadcast this year. We shipped 55 million TV tuners in the third quarter and have really become the de facto standard for TV tuners. And there's going to be ASP declines there. We’re going to have continued move into the China market where content is lower, but that - there's a growing share that we have in China and in the over the top boxes. But we've got a 10% long term decline within broadcast and in access in terms of our overall model. And so it really depends on how that comes out. And also on timing as to where we are on the overall, being within that model. That being said, if you look at the strategic growth areas, both infrastructure and IoT, now you add those up and it's over 70% of our revenues. So it's a larger fraction of the revenue that we have that's growing. And so that gives us more confidence in the - being able to hit that long term strategic growth target in 2018 and going forward.
Cody Acree: Great. Thank you very much and congrats.
Operator: Your next question comes from the line of Suji Desilva from ROTH Capital. Your line is open.
Suji Desilva: Hi Tyson. Hi Jon. Congratulations on the strong results here. On the multi clinical products, I know you're focusing on trying to do simultaneously running two protocols. Are those products already available or when will those be available and what are the apps that are pulling to that demand to be able to do that with sufficient power and cost envelope?
Tyson Tuttle: So those products are out, both in terms of Silicon and in terms of software. We have a number of customers running networks with Bluetooth and ZigBee. And a number of products that are using, where you boot into Bluetooth to be able to connect to a phone and then position the - put that device on to the network. That requires a little bit higher functionality and really more memory on the part to be able to run multiple protocols at the same time. If you look at the markets, it's really a lot of different markets that really anything that’s using the mesh or using the proprietary protocols, those like to have multiple protocol and to be able to talk to the phones. Lighting in particular is one where we see a particular interest there, balanced by the fact that that’s also a very cost sensitive area. So as we drive the roadmap forward, both on software and hardware, drive cost where Moore’s law takes the memory to be a lower cost and more cost effective over time. We see this as a growing trend.
Suji Desilva: Great. And then on the balance sheet, in terms of the cash, you’re doing a great jog generating cash here. Can you talk about your thoughts on use of cash here generally and more specifically, the acquisition environment and whether you think your organic portfolio is - what you want to go with the next several quarters, or whether any product holes are looking - are there in terms of acquisition that you’re thinking of. Thanks.
John Hollister: You bet, Suji. This is John. So we are pleased with the cash generation in the business thus far this year and continue to see the share repurchase program as an area that we will continue to be opportunistic about as a deployment of capital for shareholder return. In terms of inorganic growth drivers in the business, we continue to look for opportunities where we can find targets that will accelerate our roadmap or add some important adjacent capability. We don't have (indiscernible) right now, but we do continue to work in that area as well.
Suji Desilva: Okay, great. Thanks guys.
Operator: Your next question comes from the line of Craig Ellis from B. Riley. Your line is open.
Craig Ellis: Thanks for taking the question and congratulations on hitting the $100 million a quarter IoT milestone. Big accomplishment, guys. I wanted to start with a longer term question, just tying two things together. Tyson, in your discussion of new product activity in timing, it seems like there is a significant amount of new product flow in the third quarter. So I think we're all aware that in demand has its ebbs and flows, but how do you think that business is positioned for the next wave of demand strength in broader communication infrastructure? And you talked about very good positioning with respect to 20% year on year IoT growth. What does that mean for the company's goal to get to $1 billion in sales in the 2020 timeframe?
Tyson Tuttle: So let me first address the timing opportunity. We believe that we're quite well positioned, both within the core optical networking area where we've traditionally enjoyed strength, as well as expanding into more datacenter and wireless infrastructure applications. So if you look at the product introductions that we announced in Q3, we're really optimizing a number of our solutions for those markets for the 5G rollout which we view as a substantial expansion of our SAM and introducing products that are optimized for that market, as well as data center applications, including PCI Express and other clock and oscillator type products. So that - we feel confident about our technology there, our competitiveness and our ability to gain share in these adjacent markets outside of our core market in optical. Despite the slowdown that we're seeing right now in the overall market and we're not the only ones. There’s a number of companies out there that are talking about this within China and within additional suppliers here in the US. If you look at the goal of hitting a billion dollar run rate and the thesis is that if we continue the IoT growth and continue the organic growth there at 20% or greater, and looks like we're going to hit that here this year, as well as the growth that we're seeing within the infrastructure area. We had our eleventh consecutive record revenue quarter in isolation and those products continue to see broad adoption across a number of different markets and a continued growth in the timing area, and those products now 70% of the total. You run that math out and we're going to certainly be at that billion dollar level if the markets hold up here over the next couple of years. And then you layer on top of that, we have $724 million, John of cash in the bank. And we continue to look for opportunities to expand on top of those businesses with some M&A as well. So that could accelerate the timeframe depending on what we can pull in there.
Craig Ellis: Thanks for that. Then the follow up is for John. Just two clarifications. One, very helpful to get the industrial sales mix at 50% of total. Can you break out the other end market exposures? And then on the accounting change, thanks for the preview in terms of how you’ll handle things. Just clarifying that that means there won't be any revenue or gross margin perturbations as you cart over to the modified selling basis next year. Thank you.
John Hollister: You bet, Craig. So looking at the end market, rough numbers there. The automotive is still running around 8% of our mix and that is predominantly the automotive radio tuner. We do sell isolation products into automotive applications, as well as some of our MCU products into automotive. But most of that is on the broadcast radio side. Really not much in computing and then the balance of the mix is roughly split between the communications and consumer end markets for the end market topic. As far as the accounting change, really the key there is that going forward, our revenue results will be more sensitive to distributor inventory levels under the new guidance that's effective next year. We don't anticipate margin changes or impacts to a material extent. And with stable levels of inventory at the distribution channel, we would not expect material effects on the top line, but it will be more sensitive to the inventory level.
Craig Ellis: Thanks for that John.
Operator: Your next question comes from the line of Raji Gill from Needham & Co. your line is open.
Robert Mertens: Hi. This is Robert Mertens on behalf of Raji. Just to go back to your broadcast business. I know it's seasonally strong this quarter, but just trying to get an idea of long term, if you're still thinking around a negative 10% year over year decline or you think there could be any potential upside with the strength in the automotive business there.
Tyson Tuttle: So if you look at the performance of our broadcast products over the last couple of years, we've been able to really grow our share within the consumer spaces in both audio and video, and really are the de facto standard for TV tuners across the industry. We enjoy about two thirds market share in the flat panel TVs with a number of the tier one players, as well as China. And there's also opportunity within the set top box area. This is - that business and that market is not necessarily growing and we do see ASP declines over time, as well as some shift in content from high end type devices into lower end devices. So that business will continue - will be down next year depending on the markets and depending on our market share. But overall, that trend continues in a downward trend. And that's balanced by share gains and growth in automotive, although that is modest given the product life cycles. These are high quality, long live revenue, but it also takes time to ramp those into production as you ramp different models and different geographies within the automotive radio area. So net-net, the automotive and the consumer parts of broadcast, we still stand behind that 10% revenue decline year on year. Could be more than that depending on our ability to maintain market share within the TV market.
Robert Mertens: Great. Thank you. And then as a follow up for the infrastructure business, do you give a sense of what the growth rate is between timing and isolators? I mean perhaps more of a 2018 and beyond without the weakness in China. If you think about one growing more than the other, just based on your design pipeline of products.
Tyson Tuttle: So if you look at infrastructure, our strategic growth target there is about 10% or is greater than 10%. We will underperform that this year. If you look year on year, the infrastructure was only up 1% in Q3 and that was really driven by strength in the isolation area, offset by weakness in timing. So the infrastructure continues to deliver across the board in multiple market segments, in automotive and in a lot of industrial applications and green energy applications. And - but the - and timing has offset that. So we have underperformed our strategic growth target there, although we are confident going forward that the - that 10% growth target is a reasonable one to take for the infrastructure, given our investment levels and continued product momentum there in that market.
John Hollister: Robert, this is John. I mean we do not have unique goals for timing and isolation. The goal is really for the overall infrastructure category, but looking at timing, I mean we see areas to really enhance our SAM, moving into wireless infrastructure as Tyson indicated on the call. So we do still see longer term growth prospects for timing.
Tyson Tuttle: In terms of the overall model for the company, you've got IoT at 20%. You got infrastructure at 10% and then broadcast and access at a 10% decline. So with broadcast and access at essentially 30% of revenue or so, that's about a 3% headwind on our growth, offset by much stronger growth in the IoT and the infrastructure area. So overall, our growth businesses are much larger than our more mature businesses, and we see that over time becoming even more prominent.
Robert Mertens: Okay, great. Thank you. Appreciate the color.
Operator: I would now like to hand the call back over to Jalene Hoover.
Jalene Hoover: Thank you, Marcela and thank you all for joining us this morning. This concludes today's call.